Operator: Good morning, ladies and gentlemen, and thank you for standing by. Welcome to the New York Mortgage Trust Fourth Quarter and Full Year 2022 Results Conference Call. During today's presentation, all parties will be in a listen-only mode. Following the presentation, the conference will be opened for questions. [Operator Instructions] This conference is being recorded on Thursday, February 23, 2022. A press release and supplemental financial presentation with New York Mortgage Trust's fourth quarter and full year 2022 results was released yesterday. Both the press release and supplemental financial presentation are available on the company's website at www.nymtrust.com. Additionally, we are hosting a live webcast of today's call, which you can access in the Events & Presentations section of the company's website. At this time, management would like me to inform you that certain statements made during the conference call, which are not historical, may be deemed forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. Although New York Mortgage Trust believes the expectations reflected in any forward-looking statements are based on reasonable assumptions, it can give no assurance that its expectations will be attained. Factors and risks that could cause actual results to differ materially from expectations are detailed in yesterday's press release and from time to time in the company's filings with the Securities and Exchange Commission. Now at this time, I would like to introduce Jason Serrano, Chief Executive Officer. Jason, please go ahead.
Jason Serrano: Thank you and thanks everybody for joining the fourth quarter earnings call. I'm joined today by our CFO, Kristine Nario; and President, Nick Mah. Nick work alongside of me since 2004 at Fortress, then at Blackstone, and more recently at Oak Hill. He joined New York Mortgage Trust in 2018. And after four years in the Managing Director role, I'm excited to have Nick join the senior manager ranks as President at the end of this year – end of 2022, sorry, and be available to you today and our future calls. I'm eager to speak to you today about our fourth quarter results, along with a brief first quarter update. I will also discuss how we align the company with mark – with the market and why we feel primed for growth in a high return distressed environment. I'll initially provide commentary around these points and handover to Kristine and Nick to provide greater detail around our financials and portfolio management. Now, we have been documenting our take on the market roadmap, which is on Page 7 for a few quarters now. We believe our mark – market calls have aligned well with actual quarterly progression. An honest assessment from investors in our sector throughout the second half of 2022 and even thus far in 2023 likely contains a high degree of buyers' remorse. The market shifted – the market shift started in April 2022 with the talk is that laid out the game plan for historic rate increase due to inflation not witnessed since the 1970s. In one month, the market went from high historic securitization financing efficiency to market dislocation as CommonBond investors brushed off the years of missing out and instead sat on the sidelines. In the mid second quarter of last year, we did – we took decisive action to eliminate near-term investment pipelines. At the time, we were generating over 1 billion of new acquisitions per quarter. We ended the third quarter with $119 million of investments in mostly short duration BPLs and followed up in the last quarter with just $106 million. Producing our portfolio pipeline took great effort. We have the ability to add multiples of our fourth quarter investment activity on our balance sheet. Today, Nick will discuss this in more detail. However, at this time, we don't see a great risk reward proposition to aggregate in this market. We believe opportunity costs of capital right now is extremely high and prudent to wait for better entry points. In many ways, we see this first quarter to be inferior – inferior buyers' market than that of the third quarter of last year. Our story is much more than avoiding significant losses with acquisitions from the second half of last year. In fact, we avoided tying up capital on long – on losing propositions and human capital on managing these assets through a distressed environment to minimized downside risk. However, we have a clear path plan to drive EPS higher with portfolio growth through this year and could do so without dilution to our investors and incurring costly debt. The question is timing of this redeployment and what are the near-term catalysts to create the opportunity for us. While it's difficult to determine the day, we – what seems apparent is that we are right now in the right season. While there are many data points and telling graphs one can use to judge timing of the market reset. I watched the data supporting these two graphs on Page 8 more closely. The graph on the left shows the U.S. consumer has been – has abruptly been squeezed out of new loans and credit card products. Credit is which drove our economy in 2022 evidenced by nearly $1 trillion of credit card debt that has been added by U.S. consumers, which is a record high. Steeply rising credit card balances coupled with higher interest rate paid on such debt is crushing household budgets as high inflation deteriorates savings that many amassed during the pandemic. Personal savings rate now at 2.7% is one of the lowest points ever. Only 2006 and 2007 witnessed such vapor thin levels. A large poll by bank rate recently showed only 57% of Americans can afford 1,000 emergency expenses. Now that the borrowing merry-go-round has ended, many Americans will be looking through their monthly expenses and rejecting payments, which present low utility everyday life, including selective payment defaults that present little to no near-term consequence. Thus, it is all but certain that delinquencies will dramatically increase in a variety of asset classes, especially with loans originate over the past 18 months to low FICO score borrowers. Overall, consumption is challenged and will significantly weigh on GDP in 2023. The graph to the right shows a tight S curve relationship between existing home supply and HP recorded in the year. For the past two years, the market reached historically low supply at less than two months of homes inventory on the market. Today, we still have very low supply levels at approximately three months. Supply is in check and should keep national home prices positive in the near-term. But as I discussed, the consumer is under significant pressure, thus it should be – it should not be a surprise to see supply to pick up from homeowners struggling to make end meet for equity extraction. However, when observing the demand side, housing affordability is painfully high. U.S. mortgage rates more than doubled from the mid 3% range to above 7% in 2022. Housing expense to income is now approximately 35% higher than last year. New home buyers and essential demographic for home price growth are faced with even worse affordability. Not surprisingly, after two years of double-digit HPA and rent growth in the market in 2022, this is half in the previous year. On the ground conversations should even create greater volatility in large traditional, speculative markets such as Phoenix, Las Vegas and in small markets like Boise and Salt Lake. In these markets, we see property investors willing to accept prices equal to their basis of two years ago, suggesting in a home price decline of 20% – 25% for these investors. Thus, we see significant home price pressure in these markets in the year despite historically tight housing supply. In summary, unsecured debt in high LTV products particularly late in the late 2021 and 2022 vintage will likely, significantly underperform. Housing supply will most likely be pushed higher with the constrained buyer base. New construction, other types of pro forma underwriting, will lead supply as these sales are often more distressed, as these homeowners are not a traditional long-term holders. Delinquencies will follow, financing will become more constrained, which you see as a likely catalyst for the opportunity we are focused on. Now switching over to quarterly results, which you can find on Page 9. We ended the quarter with undepreciated loss per share of negative 12%. In this quarter we introduce adjusted book value per share mostly to capture the mark-to-market change on our debt, most of which is [indiscernible] form and other non-cash items. Christine will elaborate further about these measures, but as some of you pointed out earlier, we thought it would be helpful for consistency to disclose, adjusted book value, which declined by 4.8% quarter-over-quarter. Our after effect of our previously declared $0.10 dividend quarterly economic return on adjusted book value was negative 2.4%. Nearly all book value loss in the quarter were unrealized and expected to be reversed over time. We ended the year with 2.6% G&A expense ratio, which we believe is one of the lowest in the market for the complexities of the sectors we are engaged in. Our low cost platform is deliberate. We focus on our costs and believe we can obtain additional savings in 2023. As far as quarterly investment activity, our plan was to reduce risk and focus inwardly. As we bought some of our debt in the secondary market as well as common shares. With a full team effort in both single-family and multi-family business, we also strengthen our asset management platform, which we believe will lead us through the distressed opportunity set. We'll have more details around this next quarter as some new pieces of our platform being assembled now. Finally, after issuing a term securitization in November, we reduced our leverage ratio to 0.3 times and ended the quarter with $224 million cash. Our cash balances will jump around a bit. The goal is to limit cash holdings and drag the under leveraging our portfolio. We want to avoid incurring additional financing costs with additional drawdowns in our facilities without reinvestment targets. Page 10 shows this relationship. We can raise up to $644 million of cash by utilizing financing options available to us, with our own portfolio. Thus, we can drive EPS higher without dilution to shareholders in an equity raise and also avoid expensive corporate debt placement. By taking this additional asset-based financing, our portfolio leverage would increase to 0.4 times or 0.5 times at the company level. Thus, we have the flexibility here to obtain incremental financing while also keeping our leverage at market leading below multiples. Additional upside exists to our short duration portfolio. We have the luxury in reinvesting our asset turnover at higher yields available today, which the EPS illustration does not capture. We intentionally focused on organic fundraisers through our portfolio to drive earnings higher in a market which presents superior risk adjust returns with a catalyst that may trigger a downturn now in view, we firmly see our differentiated patient approach as a winning one where our stockholders will benefit from a steadfast path to seeking value in a disrupted environment. At this time, I'll pass it over to Kristine to provide a deeper dive on our financial results and then to Nick on the portfolio. Kristine?
Kristine Nario: Thank you, Jason. Good morning everyone. In my comments today I will focus my commentary on the main drivers of fourth quarter financial results. Our financial snapshot on Slide 9 covers keep portfolio metrics for the quarter and Slide 23 summarizes the financial results for the quarter. The company had undepreciated loss per share of $0.12 in the fourth quarter, an improvement of more than 50% as compared to undepreciated loss per share of $0.27 in the third quarter. The fair value changes related to our investment portfolio continued to have a significant impact on our earnings and during the quarter we recognized $0.11 per share of unreal life losses, primarily due to an increase in interest rates and credit spread widening that resulted in a decline in the fair values of our residential loans and investment in consolidated SLST. We had net interest income of $22.2 million, a contribution of $0.06 per share, down from $0.08 per share in the third quarter. The decrease can be attributed to a few factors. First, a decrease in average interest earning assets in our portfolio due to pay downs received during the quarter, as well as our decision to significantly curtail our investment activity starting at the end of the second quarter. In addition, financing costs in our investment portfolio were higher due to increases in base interest rates related to our repurchase agreements and as a result of residential loan securitization that we completed in the fourth quarter. While securitizations might incur greater interest expense relative to repurchase agreement financings in general, they reduce our exposure to mark-to-market risk and allow us to better manage our liquidity. Securitizations also lock in financing costs versus floating-rate repo, in that sense, if the Fed aggressively raises above expectations, it may even reduce interest expense versus repo over the medium term. Unlike in the third quarter, we had minimal sale activity which resulted in a decrease in realized gains and other income during the quarter. Also, as previously discussed, due to increases in interest rates and continued credit spread widening, prices on a majority of the assets in our portfolio declined during the quarter. Of the $42 million of unrealized losses, $35 million or $0.09 per share are attributed to residential loans held in securitization vehicles. Unlike some of our peers, we do not mark our securitization liabilities to fair value. Therefore, there is no corresponding unrealized gain recognized in our securitization liabilities to offset unrealized losses on the assets held in the securitization. More in this point later. Total general, administrative and operating expenses amounted to $68.2 million for the quarter, down from $91.6 million in the previous quarter, primarily due to: one, reduction in amortization expense as a result of lease and tangibles related to consolidated real estate, being fully amortized in the prior quarter; two, reduction in depreciation expense due to the application of held-for-sale accounting to consolidated real estate in the disposal group and finally due to residential loan portfolio runoff and minimal purchase activity which reduce portfolio operating expenses. Note that, these numbers will reflect the reclassification of interest expense related to our mortgages payable on consolidated real estate to operating expenses in the fourth quarter and in prior periods. This quarter, we introduced a new metric, adjusted book value, which is a non-GAAP financial measure replacing undepreciated book value. When presented in prior periods, undepreciated book value reflected the value for single-family rental properties and JV equity investments at their undepreciated basis by excluding from GAAP book value, the company's share of depreciation and lease intangible amortization expenses related to the operating real estate. Since we began disclosing undepreciated book value, we identified additional items that's materially affecting our book value and believe they should also be incorporated to provide a more useful non-GAAP measure. Accordingly, adjusted book value begins with the same calculation as undepreciated book value and includes two additional adjustments to GAAP book value. First, we exclude the adjustment of redeemable NCI to estimated redemption value. Redeemable NCI represents third-party ownership in one of our consolidated JV structures. These third-party owners have the ability to sell their ownership interest to us once a year for cash, which then increases our ownership stake in the consolidated JV structure. However, because the corresponding real estate are not reported at fair value where unrealized gains or losses are taken into income, the adjustment of the redeemable NCI directly affects our GAAP book value. By excluding this adjustment, adjusted book value more closely aligns the accounting treatment applied to the real estate and reflects our JV equity investments again at their undepreciated basis. Second, we adjust our liabilities that finance our investment portfolio to fair value. Most of our assets accept our single-family and consolidated multi-family real estate are financial instruments that are carried at fair value. However, unlike our use of fair value option for these assets, the CDOs issued by our residential loan securitizations and corporate debt that finance our investment portfolio assets are carried at amortized costs on our balance sheet. By adjusting these financing instruments to fair value, adjusted book value reflects the company's net equity and investments on a comparable fair value basis. We believe that adjusted book value provides investors a more useful and consistent measure of our value and facilitates a comparison of our financial performance to that of our peers. As Jason mentioned earlier, adjusted book value per share ended at $3.97 down 4.8% from September 30 and translated to a negative 2.4% economic return on adjusted book value during the quarter. Consisted with our efforts to further strengthen our balance sheet and reduce mark-to-market risk. We completed a securitization of our business purpose loan and rental book with a completion of this securitization, as of December 31, the company's recourse leverage ratio and portfolio leverage ratio decreased to 0.3x and 0.25x respectively, 0.5x and 0.4x respectively as of September 30. In addition, as indicated on Slide 13, only 13% of our total financing arrangements, which includes CDOs or securitization structures is subject to mark-to-market margin call risk, down from 23% at September 30. You can also see on Slide 13 that we have limited corporate bond maturity exposure. We have $100 million of unsecured fixed debt due in 2026 and $45 million of subordinated bonds due in 2035. This helps us maximize our liquidity, particularly in dislocated markets. We paid $0.10 per common share dividend, which was unchanged from the prior quarter. It's been the company's policy not to provide guidance or forward dividend projections. We evaluate our dividend policy each quarter and look at the 12 to 18 month projection of not only our net interest income, but also realize our capital gains that can be generated from our investment portfolio. And with that, I will now turn it over to Nick to go over the market and strategy update. Nick?
Nick Mah: Thanks Kristine and good morning, everyone. I will walk you through our overall portfolio positioning. Starting first with overall portfolio acquisitions, we have meaningfully slowed down our pipeline of purchases across both residential and multi-family. This really started at the end of the second quarter of 2022, and that trend continues through the fourth quarter. Our fourth quarter 2022 acquisitions at $106 million is 89% lower than our prior peak of acquisitions in the second quarter of last year. We have achieved this significant reduction of activity due to our flexible purchasing arrangements and the minimal economic entanglements that we have with our various trading counterparties. Overall, the portfolios prepayments and redemptions have outpaced our investments over the last two quarters, which was part of the plan. We do, however, have an eye towards the future. We continue to stay actively engaged with our partners to bolster our ability to scale up our investments when the time is right. We continue to test and refine our credit criteria in the market to ascertain the availability of the different types of assets that we historically buy. We have also continued to onboard new originators, borrowers and trading partners during this temporary loan and purchase activity. Now delving into single-family. If you look across the board in our resi portfolio, we have consciously targeted a lower LTV profile to create a margin of safety. The portfolio across the Board has LTVs in the 60s, which in most cases should be sufficient for par payoff even in a challenging economic environment. For the more the pause and purchases in the second quarter of 2022, as housing prices peaked also means that we have less exposure to the loans that are most upsides on underwriting versus what we have recently experienced, which was several months of home price declines. From a financing standpoint, we have most of our BPL rental and RPL loans and securitizations or similar structures, we move the majority of our rental loan collateral into a securitization in the fourth quarter, further reducing mark-to-market margin call exposure. We continue to prioritize utilizing non-mark-to-market financings for our assets, in particular for assets that may have more duration or inherent price volatility. If you’re looking at Page 17 of our supplemental, you can see that the total portfolio leverage ratios are quite high for an asset class like RPLs at 18.6 times. This is due to the total portfolio leverage being a GAAP measure and does not factor in the change of the valuation of liabilities against the shifting valuation of the underlying assets. If we were to adjust for this valuation of liabilities similar to our adjusted book value concept that Kristine mentioned earlier, the total portfolio leverage for RPLs will be closer to 7 times. Moving on, we continue to see value in concentrating our portfolio in short-term BPL bridge loans. The duration of these loans keeps the turnover of the portfolio high, while also generating a compelling near-term return opportunity. We are seeing coupons widen under a more conservative credit box and this allows us the flexibility to grow the portfolio within this asset class or to rotate when we see other opportunities. As an organization, we continue to invest in asset management resources for bridge and our other resi loans that will differentiate our ability to capitalize on secondary market opportunities in the future. I will note that unlike other parts of the resi portfolio where delinquencies have been relatively stable quarter-over-quarter, the delinquencies in bridge loans has increased from 8% to 13.5%. This is due to the late-stage cycle of the bridge portfolio. Given the limited amount of new investment activity in the last two quarters, and also due to the corresponding short tenure of these assets. The majority of these delinquencies are due to loans not making their expected balloon payment at maturity, which occurs frequently in this space and is often worked through by our asset managers to an extension, a sale or refinance. Overall, the portfolio has experienced de minimis amounts of realized principle losses less than 1 basis point of the $2.9 billion of bridge loan purchases we have made to date. On the Multi-Family side, the positive demographic trends in our target markets in the South and Southeast still remain at play. What is attractive about the evolving opportunity here in mezz lending is the further downside protection that we can get access to, given lower senior financing leverage generally available in the market. We should be able to access a thicker mezzanine tranche with approximately 5 to 10 additional LTV points of cushion, which would serve as additional credit enhancement in a recessionary environment. It is however important to note that valuations and clients has thus far been muted in our portfolio, given the availability of cost efficient senior financing and strong underlying fundamentals. As we mentioned in the previous quarter, we are waiting for yield and mezz lending to move towards the 13% to 15% range. This has started to materialize in some respect and we hope to build a small pipeline here. As the growing maturity wall of senior debt coming due in 2023 and 2024, but with equivalent senior financing only available at lower leverage points. There is an opportunity for mezz lending on a – to provide mezz lending on a GAAP basis. We believe the yield profile will continue to move towards the 13% to 15% target over the coming months due to this dynamic. On Multi-Family JV, as we previously discussed, we are in the process of divesting the assets in our portfolio and that is ongoing. Relating to the Multi-Family portfolio performance, once again, fundamentals are strong. The portfolio experienced rental growth of 11% in 2022 after an 8% growth in 2021. Portfolio occupancy is stable at 93% at the end of 2022. The resolutions in our portfolio also continue to occur at expectation with $36 million paying off at a 12.5% IRR. Delinquencies remain low in our mezz book with only one loan delinquent that is expected to pay off. We are pleased with the performance of this portfolio and we will leverage the extensive sourcing and asset management ability of our team to drive further returns here in the future. With that, I’ll pass it back to Jason for any closing comments.
Jason Serrano: Thank you, Nick. We are primed to utilize our strong liquidity under our low cost structure to afford greater flexibility. We’ll remain selective across the residential housing sector in anticipation of near-term market dislocation. So we can participate in – we see is a coming buyer’s market. We want to invest through our asset management platform and we believe this will be key to unlocking value in this distress cycle. So at this time, we’d like to pass the call back to the operator and open it up for questions.
Operator: Thank you. At this time, we will conduct a question-and-answer session. [Operator Instructions] Our first question comes from Stephen Laws with Raymond James. Please go ahead.
Stephen Laws: Hi, good morning, Jason. Good morning, everyone. Jason, I guess to start first question for you. When you look at the JV multifamily, the JV equity portfolio, I think you announced your intent to monetize that in September, so it’s been five months. Can you talk about where you stand with making some traction on monetizing some of those assets and kind of how you see that playing out over the course of the year, I think that’s across roughly what 20 assets, I think.
Jason Serrano: Yes, thank you. It’s 19 assets. We are looking at a variety of options. We have assets that are out in the market for sale. We have investors looking at different components of our book to take us out of our – even our LP position. We’re in conversations on different parts of the portfolio. So it’s active. I mean, as you can understand, the market was very quiet in December legging into it in January. We see some pent up demand given lack of investment activity in multifamily space over the last couple of months. The market kind of shut down prematurely in November, given some of the volatility of that was out there. But we’re getting good traction on investors taking a look at our properties and we look forward to sharing more details about that. As we said earlier on calls, we’re not going to provide four guidance on timelines or total returns related to those assets as they’re being marketed now and obviously it’s too speculative at this point to provide further detail there.
Stephen Laws: Okay. Appreciate the comments, Jason. To maybe follow-up on the – as we look forward, I know Kristine made a comment around the dividend. I believe that it kind of takes a 12 or 18 month outlook. But when we think about the somewhat unknown kind of monetization process of those investments, and it sounds like from the deck and prepared remarks, you guys are currently pretty patient right now as far as new investment activity leverage kind of take down. Are there thoughts to kind of what run rate earnings are going to be for the next year? And does it make any sense to bring the dividend down near-term and take it back up once you’ve kind of rotated capital and redeployed into new investments. I know you used the word aggressive position, that’s going to be to aggressively move in your quote in the deck. Kind of just wanted to get your thoughts around earnings through the year and how that compares to where the dividend currently is.
Jason Serrano: Yes. So as you may recall, our company has historically been a company of kind of two paths for earnings. One is through the interest income, the other is through realized gains. So what – when we look at our – and as Kristine mentioned, we look at our dividend policy and set the dividend with our board. We’re looking at 18-month forecast based on both activity related interest income and cost and also activity related to realized gains. We have a – over $300 million portfolio of assets where we have not recognized any gains on those assets to date due to GAAP measures. And so that provides a little bit of difficulty on kind of smoothing out a earnings calendar given the volatility of when these assets are sold and what those results look like. So when we look at the entirety of our portfolio and look at what we’re doing on a quarterly basis for these inwardly kind of investment concepts, which is we purchases of our debt selective purchases of assets in the market. We see that the purpose of providing the $0.10 dividend for the fourth quarter. And this is something that we discuss with the board regularly. So we as a company, we do not provide four guidance on our dividend. However, the point that you’re bringing is that, we have slowed investment activity to see a better opportunity in the future. And the only other thing I’d add into that equation that you’re looking at for earnings is the unrealized – the realized activity that we can generate through our sales. So we’re going to look at all those things together, and we’ll continuously set what we believe is a prudent dividend policy going forward.
Stephen Laws: Great. Thanks for that color. Lastly, and you touched on it in your comments there, but you’ve repurchase some of your debt both in Q4 and again in February. Can you talk about the decisions behind that capital allocation and really what makes that attractive to you right now given you’re generally cautious on your other options?
Jason Serrano: Yes. So when we look at the market and look at the capital we have to deploy, we do see teens returns opportunity in single family and multifamily mostly within the bridge loan opportunity space. And within multi-family – mezzanine lending. We do – we believe we can achieve that. Now the question is, are we better – what is the opportunity cost of that capital today by allocating to a 14% return when we have been circling around and seeing these opportunities that we think would percolate in the near-term that could provide greater returns than that. So in a market where we’re trading at a discount, it’s difficult to raise new capital that won’t be diluted to our shareholders. Instead, we’d rather hold that cash back and wait for that better return. And it’s really a forecast over kind of a two to three-year total return on that capital versus making an incremental return in the next couple months. So that’s kind of the view that we’re taking on the asset deployment. As it relates to repurchases, we do see in the secondary market, we traffic that market quite a bit, and we do see opportunities to buy some of our securitization debt back at discounts. We find that accretive, obviously we can monetize the discount immediately on those assets – on that debt, but also provides us greater flexibility for calling transactions in the future. Given our bigger equity piece that we have through the creation of monetizing that debt that we just repurchased it gives us more flexibility on that capital spec going forward. So what we’re trying to do here is to provide more options for us and at the same time have something that we’re buying as accretive and lowers the risk profile for the company. So we do see them in the market. We’re not – there’s some that we – we’re not looking at buying all the asphalted debt that we see in the market related to our securities, but we do see some that make more sense than others. And then, obviously I’ll just take this a little bit further and on share repurchases, I’m sure this question will come up. We do see opportunities to utilize our capital for share repurchases. It is accretive to – at our balance sheet at a discount in the market. We just re-upped our repurchase program, $200 million, and we’ll continuously look into the market for opportunities there. And the last thing I’ll mention is, one of the other ways of kind of bridging the gap, if you will, on earnings for interest income, as we wait for this opportunity is outside the credit markets. And in that area, we’re looking at agencies as a way of deferring some of the – kind of the running costs today, putting assets to work and having downside protection through a principal protected asset class. So I think the expectation is, in the next quarter that you will see that we’re starting to leg into the agency market and we’ll do so even – more so if we feel like this opportunity or the catalyst I described earlier is taking longer to develop.
Stephen Laws: Great. Helpful comment. Thanks very much, Jason.
Operator: Thank you. One moment for our next question. Our next question comes from Doug Harter with Credit Suisse. Please go ahead.
Doug Harter: Thanks. Just on that last point about possibly deploying some capital into agency. I guess, how do you think about the volatility of that capital and kind of the risk that you’re willing to take with that capital as it’s – as you kind of sounds like you’re viewing it more as a placeholder versus kind of a core strategy?
Jason Serrano: That’s right. And we’ve traditionally – our company has traditionally invested in agency market. We’ve had a position there for quite some time. We took it off when we felt like there was a better opportunity in the credit space. And we’ve been looking at this sector ever since we took it off. It’s just not a core strategy for us, but it is a strategy of a more of a cash management tool. And obviously, the market has experienced quite a bit of volatility in agency space given rates, which is the reason why we haven’t allocated to that to date despite the low investment activity. We’ve always had that as an option for us and we decided against it. We do see parts of the market that look interesting for that particular bet today. And yes, you’re right, it is a shorter-term strategy hold. But I can see going through this cycle that we actually may keep a position in that space on a near – on a more medium-term basis just than on a near-term basis. So, we’ve been trafficking this market and we believe it’s – we’re at a time now where we can start legging into the trade, given some of the volatility has passed. Now there’s definitely more volatility to come. We look to fully interest rate head into our position to mute some of that volatility from the rate markets and look for agency assets that have a better degree of extension given some of the spec pools that are out there. So we’ll be focusing on that part of the market, but doing so, solely and taking consideration the volatility that may come.
Doug Harter: Thanks. And then earlier you guys mentioned that you’re still kind of prioritizing the shorter duration BPL loans. Can you just talk about kind of how you weigh kind of the advantages of those shorter duration versus the opportunity to kind of lock in spreads that are relatively wide today for a longer duration?
Nick Mah: Sure, Doug, this is Nick. We still believe that there is probably going to be more compelling opportunities for assets with potentially more credit risk or potentially more duration in the future. So that’s really what’s informing us in terms of trying to focus more on the short-term bridge. And furthermore, that can also build – potentially build up interest income, which is something that we do have lots of parts of our portfolio that have – could potentially already have embedded realized gains such as our multi-family JV. So it’d be good to balance that with a residential product, a shorter duration that generates a high degree of interest income.
Jason Serrano: I’ll add to that point real quick, which is something that we even looking at and feel is likely to happen in the near-term is that there’s a lot of market participants that went into the BPL space that doesn’t have the asset management capability to manage that through distress cycle. I mean, if you can go back to 2007, we had a lot of originators originating loans, once the liquids went above 3% kind of the wheels fell off for asset management on those portfolios, which allowed all types of anomalies in asset management for those delinquencies. We see similar patterns here in this space where you have an investor that came in and bought a portfolio, they came back it up with some strong asset management capability, but looked at as more of a performing asset class. So we had – we see opportunities where we can step in and help those problems that may emulate through poor management. And that’s where some of the distressed and dislocation we think would be attractive for us to lag into. So when I said earlier that we’re focused on inwardly on our asset management capability, and we see an opportunity for both service income, fee income managing – helping manage others with those – their portfolios, as well as taking out portfolios down that are difficult to manage for those investors.
Doug Harter: Got it. And just you mentioned the delinquency rate on the portfolio today, I guess if you could just give us a context of kind of where that – where that run kind of range that you’ve experienced kind of in your portfolio over time?
Jason Serrano: Yes, so the numbers that I quoted earlier was on the BPL bridge. That delinquency range is on the higher end of where we have historically experienced, but there hasn’t been a time period where our – the pace of our investments in that particular asset class has slowed. So a couple of we have over the last couple of quarters, we have not really invested a lot in there. So our overall portfolio seasoning has just been at the back end. So, as I mentioned earlier, there is – it’s fairly common for borrowers as they approach maturity to, yes, either in an effort to preserve capital and then pay it off after the – after a refinance or a sale that they do go delinquent. So from our perspective, we monitor this very closely. We, in fact, one of the things that we do is, we actually try to engage the borrower to execute extensions and try to charge the appropriate amount for these extensions because the cost of capital of that debt on our balance sheet is high. So for borrowers to just extend comfortably is something, which we will not do. So, we want to engage these borrowers, we will charge them the appropriate amount for extensions, and that sometimes that negotiation results in some amount of delinquency as we work that through. So overall, we continue to monitor the progress of the performance of the portfolio. We’re still very happy with where it is, given the seasoning of the portfolio, a lot of these projects, when they’re complete, we’ll still be profitable for these investors. So, we don’t see the distress in that particular area to come. So with that, we’re going to continue to focus on asset management and we’re going to continue to monitor the levels of delinquency, but this is something that we expected as we slow down investment activity over the last couple of quarters.
Doug Harter: Thank you.
Operator: Thank you. [Operator Instructions] Our next question comes from Bose George with KBW. Please go ahead.
Mike Smith: Hey guys, this is actually Mike Smith on for Bose. Maybe just one more on credit in the BPL business, how much of the pickup and delinquency rate has been driven by home sales freezing up versus the lack of availability of permanent financing? Do you see any trends here or is it kind of mixed across the board?
Nick Mah: I will say that the – probably what these borrowers feel more is the fact that there is just less lending available, generally speaking. So a lot of these borrowers who would require more time to finish these projects would typically seek out refinancings, and the refinancing availability is just lower. So because of that, we tend to work with these borrowers to keep them with us and then sizing the return or the extension fees that we would charge appropriately.
Jason Serrano: And one thing I’d like to add there is that you have a portfolio that we purposefully have targeted low percent of capital required for the completion, right? So, we looked at projects we’re easy to complete, but even in those situations, if anybody is finishing a home and refurbishing different parts of the house, I mean, the timelines that from a 2000, early 2021 origination, the timelines have extended to get work done. And that’s just a fact across the entire United States. So, it’s not surprising to see that you have [indiscernible] of the portfolio that needs more time to finish the project, which is where a lot of the extensions and delinquencies come up that Nick is referring to. So we want to provide that, that timeline to complete the job even though it is a lower percent of total value of the home that we’ve approved, for completions. But we do so in making it, aligning the bar with us, and that’s the point of the cost, which is additional return on our investment related to those assets. We don’t make it easy. We want to make – we want the alignment. We want the – we want to make it difficult, and make it somewhat painful to have those extension put in place. But we do see that there’s lots of situations, where it pops up, where the bar just needs more time to complete where the house is under a sale agreement and it's a 45-day close with the financing, it just takes time. So we allow for those types of things.
Mike Smith: Great. That's helpful. And then maybe just from an asset management perspective, what's the timeline usually look like, fees, et cetera in terms of kind of getting these loans resolved? And then can you kind of talk about the capacity on your end, to the extent the delinquency rate continues to increase from this 13%, 14% range?
Jason Serrano: Sure. So we have an internal asset management team that has capacity to take on significantly more of these delinquencies. Also, it's also important to note that we have servicers and asset managers on this portfolio on the third-party side that is doing a lot of the legwork in terms of communication with the borrowers and making sure that these borrowers understand what our processes are relating to extensions, so on and so forth. In terms of timing, it usually takes, let's say if someone approaches that maturity usually takes anywhere between, let's say three to six months to resolve. In some cases sooner, it really depends on what the, what – why they are – why it's taking longer. Is it – are they waiting for a sale or are they waiting for a refinance? And then with regards to just making sure that the cost of capital is aligned. We are seeing our extension fees increase over the past, let's say six to 12 months. So typically now we're charging a 100 basis points to 200 basis points for a three-month extension and that the 100 basis points to 200 basis points will be dependent on whether or not that is paid up front or is paid in the backend.
Mike Smith: Great. That's really helpful. And then maybe just one more. Have you seen any changes to your book value so far in the first quarter?
Jason Serrano: Yes. So the quarter-to-date we estimate our adjusted book value to be up between 3% to 4%.
Mike Smith: Great. Thanks a lot for taking the questions.
Operator: Thank you. One moment for our next question. Our next question comes from Christopher Nolan with Ladenburg. Please go ahead.
Christopher Nolan: Hey, thank you for taking my questions. Nick, welcome. Kristine, the decline in interest expenses quarter-over-quarter, was that related to last quarter had interest expense from mortgage payables? Was that absent this quarter?
Kristine Nario: No. It was reclassified from interest expense to expenses related to real estate, Chris. So that resulted in that number being lower, but if you look at our filings and our press release those have been reclassified also and shown in the prior periods as being reclassed to expenses related to operating real estate.
Christopher Nolan: Okay. So it's just a shifting categories, right?
Kristine Nario: That's right.
Christopher Nolan: Okay. And then on the follow up on the multifamily, I've noticed that the interest coverage quarter-over-quarter has declined from 170, 179 to 150, but the LTVs have remained relatively steady quarter-over-quarter. How frequently are the valuations done that go into that LTV formula?
Kristine Nario: So the valuations are done for our held for sale portfolio on a quarterly basis. That's part of our impairment exercise. In terms of the portfolio, that's not for sale or not part of the disposal group, that appraisal is really done on a yearly basis consistent with our agreements. So that is updated yearly. So a portion would be quarterly – a portion of it will be quarterly that's the 244 million portfolio that we have will be refreshed quarterly. And then the 140 something million that we have on one JV structure will be refreshed yearly.
Christopher Nolan: Right. So is it fair to say that the DSCR ratios are current but the LTVs are flagging?
Kristine Nario: Yes.
Jason Serrano: Yes, that's a fair statement.
Christopher Nolan: All right. And then is the intention for the multi-family mezz portfolio to just simply run that off given the more defensive characteristic of your investment approaches?
Jason Serrano: Yes. So in the multifamily space given that is also kind of a short duration financing that we put in place. We are seeing as we report every quarter; we are seeing high pay downs related to that portfolio. What we do see in that space is, the catalyst there is related to about $120 billion of senior financing that will be coming due over the next 18 months. And that capital, that is – that debt financing on multifamily profits across the United States that is coming due – is coming due with LTVs or advanced rates that are 10% to 15% lower than they were at the time of financing. So what we're – the market – the lending market has obviously lowered their advanced rate, given the turmoil that the market's experiencing. And what we see as an opportunity there is basically gap funding on a short-term basis related to some of that refinancing activity that needs to take place. Now we think we can do that, as Nick mentioned on the call. We think we can do that at 10% to 15% lower LTV than we have today on our portfolio and at origination. And also raise our coupon anywhere from 200 basis points, 300 basis points from where we are today. So we're kind of targeting a 14% to 15% kind of coupon in that space with total turn economics on make that would put us in the teens. We're not quite there yet in the market. It's definitely wider and it's wider quarter-over-quarter sequentially, but there will be some pressure that we're going to see in that space on the refinancing side. So I wouldn't say that it's going to be a roll down of the portfolio. It's more of a wait and see in this bridge loan, cap funding opportunity that we think is coming to a market soon.
Christopher Nolan: Okay. Thank you for the detail. That's it for me. Thank you.
Jason Serrano: Okay.
Operator: Thank you. One moment for our next question. Our next question comes from Eric Hagen with BTIG. Please go ahead.
Eric Hagen: Hey, thanks. Good morning. Hope you guys are doing all right. A couple from me, is any of the multi-family portfolio pledged as collateral for financing, and are those assets included in the unencumbered assets that you advertise having? And then the $26.5 million margin call that you received in the fourth quarter? Can you describe which assets in the portfolio drove that margin call and when in the quarter it was kind of concentrated? Like, is that $26.5 million, like a net margin call for the quarter? Kind of like, how big did it maybe get when spreads were really wide in October? Thank you.
Kristine Nario: So I'll answer the first question. So the unencumbered, the multi-family portfolio is not levered, so there's no leverage on them. And then the unencumbered assets, that we do disclose in our supplemental does not include that portfolio as well. In terms of the margin call, that's mostly related to residential loans, and that's the number that we've actually paid out during the quarter.
Eric Hagen: Got it. Was that a net margin call for the quarter? Like in October when spreads were really wide, what was the margin call, you may have received on the, in the loan portfolio?
Kristine Nario: That's the gross number, Eric.
Jason Serrano: That's the gross number. We have, if you look at our portfolio, we have very a small portion of it on mark-to-market repo. A lot of it's in non-mark-to-market facilities, so securitizations, hence the smaller number.
Eric Hagen: Okay, great. Thank you guys very much.
Operator: Thank you. One moment for our next question. Our next question comes from Wes Martens with JLS. Please go ahead.
Wes Martens: Hi, good morning gentlemen. My name is Wes, I'm a small investor. I'm just looking at the results and the elephant in the room for me is the four to one split. I just wanted to know, what was your main focus, main reason for turning the four to one split?
Jason Serrano: Yes, so I mean, obviously is nothing material occurs from a reverse split of our shares. We do find that some of our investors could afford more flexibility in our share activity in the market through better liquidity with a higher share price, which is simply the reason why we did that. It does bring some liquidity to the market given, the share price at that level versus below a $5 level. So, obviously not much of a change materially to the company or to the metrics simply, was a measure for helping on the balance, liquidity for our shares.
Wes Martens: Okay. Great. That makes sense. And how the next step at interest rate hike they're talking about more interest rate hikes. How is that going to affect the bottom line here?
Jason Serrano: Are you referring to the, the future expected fed hike?
Wes Martens: Yes, exactly. Yes.
Jason Serrano: Okay. Yes, so I mean, look we have obviously have endured historic rate increases in our portfolio to date. We have a very short duration portfolio in both multi-family, single family. Look, when you look at our assets, they're paying off at a high rate. They had a fifth of our portfolio that paid down that paid off, in the last quarter through our portfolio reduction. We have an, our multi-family JV equity assets, which benefit from rate, from inflation through rent, higher renter rates. We also have caps against those positions for our financing costs that exists. So we feel that we're, well covered there. So, and ultimately, we see it as an opportunity where assets could be kind of shaken out a little bit further in the market and part of the catalyst that we see to legging into better risk adjusted returns in the future.
Wes Martens: Okay. Great. That sounds good. Thanks gentlemen. Have a great day.
Jason Serrano: Thank you.
Operator: Thank you. I'm showing no further questions at this time. I'd now like to turn it back to Jason Serrano for closing remarks.
Jason Serrano: Yes. Thank you for spending time with us this morning. We look forward to discussing our Q1 results – on our next call. Have a great day.
Operator: Thank you for your participation in today's conference. This concludes the program. You may now disconnect.